Operator: Thank you for standing by. This is the Chorus Call conference operator. And welcome to the Brookfield Infrastructure Partners 2015 Second Quarter Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I will turn the conference over to Tracey Wise, Senior Vice President, Investor Relations. Please go ahead, Ms. Wise.
Tracey Wise: Thank you, Operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners' second quarter 2015 conference call. On the call today is Bahir Manios, our Chief Financial Officer, and Sam Pollock, our Chief Executive Office. Following their remarks, we look forward to taking your questions and comments. At this time, I would like to remind you that in responding to questions and in talking about our growth initiatives, and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on known risk factors, I would encourage you to review our annual report on Form 20-F, which is available on our website. With that, I would like to now turn the call over to Bahir.
Bahir Manios: Thank you, Tracey, and good morning, everyone. This was a very occupies period for our business. We maintained the strong momentum that we had established on new investment activities that we have been progressing and posted very good financial results on the back of solid operational performance across our various businesses. I'll start off the call by going through our financial results and I will also give a quick update on our various operations, in addition to the key organic capital projects that we currently have on the go, and I will also touch on our liquidity position. First half our financial results were strong. Each one of our operating segments reported higher levels of funds from operations or FFO compared to the prior year. We benefitted from solid organic growth and contributions from new investments which more than offset the impact of foreign exchange moments. We generated FFO of 208 million for the quarter, which translated to $0.91 per unit, the best results we ever posted. Our utility segment generated FFO of 93 million for the quarter compared to 92 million in the second quarter of 2014. Our results reflected another quarter of robust connection activity in our U.K. regulated distribution operation. We also generated incremental earnings on growth capital commissioned in to our rate base and benefited from inflation indexation across the number of our businesses. These positive contributions were offset by foreign exchange moments that tampered our results by $4 million. From an operations perspective, all of our utilities businesses performed well during the quarter. Most noteworthy was our Australian regulated terminal where we experienced a record capacity utilization of over 97% in June and close to 85% for the quarter. Given that we have take-or-pay contracts in place with premier mining companies, our financial results for this business are not impacted by fluctuations and volumes handled at the terminal. However, this level of throughput is encouraging as it demonstrate that notwithstanding this low commodity price environment, our customers are continuing to shift significant volumes through our terminal. Our transport segment generated FFO for $104 million and 11% increase compared to $94 million in the same quarter last year. Results benefited from the contribution of the Brazilian rail operation acquired in August 2014. Strong volumes across our rail and port platforms, as well as tariff growth across most of our businesses also contributed to the improved results for this segment. The continued strength of the U.S. dollar against other currencies reduced results for this business by $12 million. This foreign exchange impact partially offset the otherwise impressive operating results that we achieved in local currencies. On the operations front, I wanted to give couple of updates pertaining to our largest two platforms in this segment. First, in our rail platform we experienced solid volumes across most of our business lines including iron ore, soy, grain, and alumina, which led to an increase in same-store EBITDA of 4% on a constant currency basis. We're also pleased to report that our largest iron ore customer Karara Mining Limited completed their refinancing of its syndicated bank debt facilities extending term from 2020 to 2030. This refinancing is a further demonstration of the important sponsorship our customers used from its various stakeholders in China. Also in our toll road business we saw EBITDA in local currencies increased by 5%. This increase was mostly the result of tariff increases and strong light vehicle volumes across our operations, which more than offset lower heavy vehicle volumes in Brazil. Our energy segment generated FFO of $23 million, compared to $16 million in the prior year. Results reflected organic growth and a new investments in our district energy platform, as well as improved volumes and cost savings in our natural gas transmission and distribution operations. During the quarter we progressed several strategic alternatives for our North American Gas Transmission operation. We continue to evaluate alternatives to sell our interest in the company, as well as considering transactions that would facilitate the right sizing of the capital structure of this business in conjunction with modifications to the operating and ownership agreements that would apply going forward. We hope to be in a position to provide a more detailed update on this process in the next few months. And lastly we closed the French telecom infrastructure transaction on March 31 as previously announced. As a result, this quarter marked the first full period of contribution to our results. This operation generated $20 million of FFO, which was slightly ahead of our underwriting projections. Next on the organic growth front, we currently have a very robust backlog of growth projects that totals $1.3 billion, which is expected to be deployed and commissioned over the next two to three years across our four operating segments which should provide for good earnings visibility over the next few years. First I'll start off by going through our utilities capital projects where we currently have the backlog that stands at over $500 million, which is expected to be commissioned over the next 24 months. It consists of a large number of smaller, simple to execute projects spread across our various networks. Our teams have demonstrated a good track record of replenishing this backlog by taking advantage of the strong competitive positions of our various networks. We plan to fund these projects with none recourse investment grade debt, in addition to cash flows retained in our businesses. Once fully commissioned, our current backlog is expected to contribute EBITDA growth for the segment of approximately 10%. In our transport business, we have a number of advanced initiatives. First we continue to make good progress advancing our capital investment program in our Brazilian toll road operations, most notably the Serra de Cafezal expansion project. This project consists of duplicating 30 kilometers of the Regis Bittencourt highway in the state of São Paulo to ease congestion. It is now more than 60% complete, and is expected to be commissioned by early 2017. At that time, our EBITDA for this business is forecasted to increase by 5% on a run rate basis from the commissioning of this project alone. In our Chilean toll road business, we acquired the 50% of Tunel San Cristobal or TSC that we did not already own, investing approximately $50 million our share. TSC is a 3 kilometer tunnel that is adjacent to our main road, and is a key connection point between our road and other critical infrastructure in the area. At our U.K. port, we successfully commissioned the first phase of the number 1 key project on time scope and budget. Subsequently we commenced the second phase to upgrade an adjacent section of the key to deepen its berth, which should require an additional capital investment of approximately $15 million. In addition we completed a tuck-in acquisition of a freehold inland port in the Humber region, the U.K.'s largest port complex for approximately $20 million. Now turning to our energy segment or specifically in our district energy platform we completed the acquisition for system located at the Sydney Airport in Australia. Comprised of two networks, this system provides heating and cooling services under a long-term contracts, the various facilities belonging to Qantas Airlines. We also signed agreements to acquire heating and cooling systems in Sydney that serves, commercial and residential properties and we avoided a project to develop a water system in Queensland. We plan to deploy approximately $70 million of capital into these systems. As a result of this acquisition and a number of organic projects currently underway in our North American systems, we expect run rate EBITDA for this platform to increase by almost 25% by the end of 2016. And lastly our team in Europe is working hard progressing the integration of our new communication infrastructure business. We were working to identify and capture numerous growth opportunities that we believe are embedded in this business. We will seek to grow this platform by substantially pursuing opportunities to increase co-location leasing revenues in response to mobile network operators or MNOs looking to meet density requirements. We are also detecting a shift in strategy by these MNOs in France. We believe that they are moving away from the physical ownership of tower infrastructure to focus their capital on acquisition of spectrum rights for the rollout of communication technologies such as 3G, 4G and 5G. This change in strategy provides businesses like ours with the prospect to make investments in physical infrastructure on behalf of these MNO’s. And finally before I conclude my remarks, I’m turning the call over to Sam. I wanted to touch on our liquidity position. We ended the quarter with approximately $3 billion of liquidity, our highest ever position and this positions us well to pursue the numerous advance investment opportunities that we have in the pipeline. This level of available capital currently acts as a partial drag on our results. For example, our FFO per unit for the quarter on constant unit terms would have been up 16% year-over-year instead of 6% and our payout ratio would have been 60% instead of 67%. This was all achieved in a period where we experienced foreign exchange headwinds and further demonstrate the resiliency of our cash flows and the overall diversification of our business. Our expectation is that as this capital is deployed over the coming quarters, our business will generate much higher growth in its results or FFO per unit going forward. And so with that, I’ll now turn the call over to Sam.
Sam Pollock: Thanks Bahir, and good morning everyone. On today’s call I’ll start and begin with a brief review of certain elements of our investment strategy in order to provide a bit of a context for our transaction pipeline. I’ll also provide an update on our major initiatives that are underway and I’ll conclude with an outlook for the business. As most of you have heard me say in previous calls, we deploy a consistent investment strategy with the objective of acquiring assets with good regulatory frameworks or market positions. We are not however, alone in the pursuit of these types of assets. As a result we’ve need to take patient long-term perspective to build in our company and avoid highly market asset auctions that attract institutions with substantially lower return expectations. In this regard, to position ourselves to be successful, we are primarily direct our efforts towards opportunities where we can work exclusively with sellers. In addition, we have bolstered our liquidity by raising $1.4 billion of equity in debt recently which is significantly hands our flexibility to transact. Our ability to move quickly and demonstrate a capacity to close transactions is more essential now than ever before. We also have several approaches to identify and source attractive opportunities. One approach is to execute our strategies to focus on out-of-favor sectors and regions. By taking an informed yet confirmed view, we can often acquire superior assets when capital is constrained. Another approach is to identify high quality assets around the globe that are complimentary with our current mix of businesses, which we believe will improve and augment our market position. In each situations, we can also typically bring operating synergies or value added strategies to bear. We have found both approaches have proven successful in covering potential investments. At the start of 2015, we believe that we could find opportunities for step change growth in various parts of our business. Several prospects have surfaced and we are now prioritizing those initiatives that have a great potential to create market leading infrastructure platforms, as well generate attractive long term investment returns for our unitholders. We have no shortage of opportunities today, so we will only pursue investments that meet these criteria. Our robust investment pipeline currently includes four transactions that I want to discuss on this call today. The first one is a transport opportunity in South America. In July we received court approval to proceed with approximately $220 million debt and position loan to OAS, a large Brazilian construction company. We mentioned this transaction last quarter and you recall that OAS holds a 24% stake in a large toll road, airport and urban mobility company in Brazil called Invepar. We expect to fund the loans shortly and subsequent to this, we will be well positioned to launch a bid to acquire the equity interest in Invepar. While our loan is outstanding, we will earn a minimum return of 15% in U.S. dollars. This is a rare opportunity to invest in a large portfolio of irreplaceable assets. Invepar's business comprises urban toll roads in Brazil and Peru, our controlling stake in the international airport in São Paulo, the largest airport in South America, and an interest in three urban mobility systems in Rio De Janeiro, that serve over 200 million passenger per year. The multi-facet nature of the situation combined with our long operating history in Brazil has created a transaction that uniquely suits our capabilities. The second transaction I want to discuss is our Brazilian toll road privatization. In April alongside our partners, we made a tender offer for the public minority shares of our Brazilian toll road subsidiary. We saw this as an opportunity to invest further capital and operation we like and no well. We are currently working on tender support of the minority shareholders to tender to our offer and our hope is to have this process concluded before the end of the year. Next is gas storage in North America. You may have seen news article back in June, that along with our institutional partners we signed definitive agreements to acquire all the outstanding common units of Niska gas storage. The total investment for the Brookfield starting will be $175 million, of which Brookfield infrastructure will invest approximately $70 million for an effective 40% at ownership stake. Earlier in the year, our Consortium opportunistically acquired approximately $250 million of Niska's senior debt at a substantial discount to face value. Our share was approximately $100 million. We believe that ownership of the debt provided us a significant competitor advantage when the company was later put up for sale. Niska has well located premier facilities including the AECO hub in Alberta, and the Wild Goose facility in California. We see this an opportunity to acquire storage facilities at the below replacement cost, supporting our thesis that with forthcoming demand increases, the long-term market for gas storage assets will be solid. This investment follows a series of similar, but smaller, investments that we have made in the sector over the past year. Closing of this transaction is expected to occur in 2016 and is subject to a number of regulatory approvals, as well as other customary closing conditions. The acquisition of Niska will double our gas storage capacity to a total of 615 bcf. The last transaction I'm going to talk about is an Australian transfer business called Asciano. In late June, we were required for regulatory reasons to prematurely disclose to the market that we were engaged in exclusive discussions to acquire Asciano, a large rail and port logistics company operating across Australia. It is a high quality company with an established market position in both the rail and port sectors in the country. The genesis of the transaction arose out of a common belief that a combination of our respective rail and port assets would be highly complementary and would represent a unique platform of a scale that few companies could rival. Our ability to pursue a transaction of this size is a result of our knowledge of the business, our scale of operations in Australia and our substantial liquidity and resources. This includes the large amount of our capital that is available to be deployed, as well as significant support from a number of institutional partners who invest alongside us. I know a number of you listening to today's call will have questions about this transaction. At this stage, we continue to have work ahead of us in determining whether a transaction of this nature can be progressed. Therefore, I believe it is only appropriate to refrain from commenting further, other than to confirm that discussions between Asciano and ourselves are continuing and they are positive, but I have to say there can be no certainty that transaction will be agreed. With that I’ll move onto an outlook for our business. The outlook for the global economy is mixed with some countries slowing down and others gathering a bit of steam. The potential for Greece to default on its sovereign debt obligations and possibly exit the Eurozone is front page news almost every day. In addition, there are concerns around the slowdown in China and the impact that’s going to have on commodity markets. On the other side the calling in the U.S. and in parts of Europe, economic data suggests that the labor market is strengthening and the prospect for solid growth is positive. In response to an improving economy, the U.S. Federal Reserve has telegraphed that a rate hike is likely to occur in 2015, however it appears that interest rate increases may be implemented more gradually than previously anticipated. We don’t currently expect any severe market disruptions to occur as a result of the uncertainty over Greece or rising U.S. interest rates. Nonetheless with a strong balance sheet and substantial liquidity, we believe we are well positioned to withstand any unforeseen headwinds. It is of course possible that rising rates may temporarily dampen share prices as investors recalibrate their portfolios to new circumstances. From an underlying business perspective, however, we believe that a modest rise in rates is not likely to be detrimental and, in fact, our business may perform very well in a rising rate environment. The reason for this is that rising rates often go hand in hand with higher inflation and economic growth, two of the major drivers that underpin our FFO growth and, correspondingly, the value of our business. Taking into account the current global economic situation, we believe that the prospects for Brookfield Infrastructure are bright. Our operations are performing well as you’ve heard from here and we continue to commission projects from our substantial capital backlog that will provide steady, predictable growth. With a number of exciting transactions in our investment pipeline, the quality and scale of our opportunities have never been better. Given our significant liquidity, deploying capital into new investments should be highly accretive to our FFO per unit, providing us with the ability to continue to grow our distributions to unitholders. With that I’ll turn the call back to the operator to open the line for questions.
Operator: [Operator Instructions] The first question is from Cherilyn Radbourne with TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much and good morning. Was just wondering if you could add a bit of color on how OAS's bankruptcy process and related legal proceedings may impact the timing of the funding of the debt loan and equity is taken into par?
Sam Pollock: Hi Cherilyn, I'd be happy to do that. So as you’re going to appreciate these types of processes whether in Brazil or North America, it always take more time than people expect. On the positive front, the RJ court has approved our debt loan and recently it was the requirement for parties to put in their appeals to that ruling, which we are currently in a process of evaluating. So the main condition present to us funding our debt loan is our evaluation of those appeals, which we're looking at today. And our expectation is that, assuming that there is nothing that concerns us, we'll be in a position to fund the debt probably the end of August or in September, probably more likely early September. With respect to putting for a bid, that's something that we’re currently in discussions with the company on. We have completed our diligence and at this stage we’re just in the process of trying to answer a few final questions with the company refined what that bid would look like. There is a number of stakeholders who are part of the process, there is the pension fund partners of OAS Invepar, who we need to have discussions with OAS needs to make sure they have the support of their creditors as they go forward with us on a transaction. So, we're just in a process of hurting all of those different constituents and putting forward our bid. Once we put forward that bid, the next step would be for that along with other elements of their plan to get approved. And then there will be a relatively short Go Shop period, at which time others have the opportunity to look at the business and we'll obviously have our stalking horse bid in place with a number of protections including break fees and right to tops. So, that sort of the process as it fits right now, my expectation is that even though we're well advanced, any actual transaction or final closing likely is not to incur to occur until sometime in 2016.
Cherilyn Radbourne: Okay, that's very helpful. And then a more general question, obviously there is a lot of doom and gloom in the financial prices, it relates to Brazil in a lot of investor sighing away from the jurisdiction. Just wondering if you could offer some thoughts on the trajectory of the economy just based on what you see in your businesses?
Sam Pollock: Sure. I guess our view of the country right now. First from a long-term perspective we still remain very positive about the potential for the country as a whole. There are - you almost have to look at Brazil as various different sectors as opposed to one homogenous economy. Today, the part of the country that is decelerating rapidly is the industrial sector, the two parts that are hurting significantly would be the steel sector, mining and obviously oil and gas. With Petrobras pulling back their capital projects significantly, you can imagine that that's a big drag on the economy. On the other side of the coin there are a number of export oriented businesses that are benefiting dramatically from the lower reais. In particular, the agricultural sector is still performing quite well and growing. And in addition that, you probably know there's been a number of announcements of expansions of pulp mills. So the forest product sector is also doing quite well this particular time. Putting that all together my sense is that you’re going to see continued weakness over the next 12 to 18 months. I think 2016 will continue to be a relatively difficult year for the country, but I think you'll start seeing the turnaround 2016. We are very encouraged by the steps that the current Minister of Finance has taken and I think they will reverse the number of the policies that were in place in the past. And I think the – they have also taken some other positive steps to encourage investment. One of the ones that effects us from particular is the increase in the low returns for infrastructure projects and you may have seen that they have increased the low returns from real rate of 7% to over 9% now, which is going to be positive for people putting capital into the country. So that maybe a bit more long winter than you wanted but hopefully that's helpful.
Cherilyn Radbourne: That’s perfect. And that's my too. Thank you.
Sam Pollock: Thank you, Cheryl.
Operator: Next question is from Bert Powell with BMO Capital Markets. Please go ahead sir.
Bert Powell: Sam just wanted to go back to Invepar. When does the Go Shop start and have they got a date to reopen now, is that something they are starting to entertain or is all of this contingent on you getting what you need to get done first before any of that can happen.
Sam Pollock: It's all of the above. Just note that they have [indiscernible] because they have been giving us excess information but as far - 
Bert Powell: Are there any parties in there as well?
Sam Pollock: Well, we don’t know what they are doing to be honest. Up until very recently we had an exclusivity so there would have been, there would not have been and I think given all the things that are going on, I imagine be very difficult to do anything at this stage. But what's going to happen in my sense is, we will formulate a stalking horse bid over the next couple of months. The actual Go Shop period itself doesn't start until after the RJ plans been approved and the creditors on side. So, that’s just sort of a statutory requirement. So that won't take place for a while.
Bert Powell: Okay. Thanks. My question is with request to the tool roads in Brazil, light vehicle traffic was up, heavy vehicle traffic down kind of on a percentage basis look like about three times bad. Also if you look at the Alberta numbers, is there been a increase in the rate of change in the heavy vehicle and when you look at traffic trends today, what's your thinking around the future, the EBITDA out of that business factoring in, obviously light vehicle seems to be there and you’re getting your price increases. And do you have the expansions going on as well. Just trying to figure out how much of that is a headwind for you as you think about the Brazilian tool road is going forward.
Sam Pollock: I will start and Bahir might add to it. Directionally you're right. The light vehicle traffic has held up quite nicely and heavy vehicles with the reduction in industrial activity has dropped-off. Obviously in our numbers we have a very large business in Chile which is mostly like traffic and which is done in fact quite, quite well. So that’s skews our numbers quite a bit. In addition to that, the other sort of noise in the numbers is that, there are all little excel changes with regards to what the government allows at some point and doesn’t allow at other point, which we do expect we'll get rebounds for in the future. So, at some time it's a little difficult to compare peer-to-peer more recently because of some of those changes but look, I think our expectation is that light traffic will hold up, albeit at lower levels than what we have seen in the past for the foreseeable future probably for this year and next year and then we’ll see a nice reacceleration of that growth and heavy traffic will be the same although it will be in negative territory I suspect for the next 18 months. Is that helpful or I don’t know if you - 
Bert Powell: I just really trying to get how its coloring your outlook for that business I know you got the Chilean operation you are trying to figure out if this materially worse or kind of, yes, this is as expected.
Sam Pollock: Look, I think the – it's not materially worse or materials of the business but we would not have expected the decline in economic activity to be as severe in Brazil as it is now. I think what's attractive for our business going forward is that most of our assets today in Brazil, particularly the federal roads are constrained, because of limited capacity where we are in fact expanding the roads. And so they’re not operating at their full capability in any then and most of those projects will be completed in 2017 and 2018 which hope they’ll be well timed for when the economy recovers and we should see some very strong growth rates after that both from the improved economy but also just from the higher capacity from those roads. 
Bert Powell: Okay. Thank you.
Operator: Next question is from Brendan Maiorana with Wells Fargo. Please go ahead.
Brendan Maiorana: Thanks, good morning. Sam or Bahir, so if we just look at the business as its operating and your outlook maybe for the next year or so versus the growth trajectory that you’ve been on for the past year. If you think about it from a same-store basis, kind of income producing assets, do you think the rate of growth is different over the next several quarters or 12 months versus have a rate of growth, maybe gone on the same-store basis over the past year or so?
Sam Pollock: I’ll talk about one Brendan. That’s also a difficult question to answer on a holistic basis just because we have a number of different jurisdictions and in different sectors but I would say as a whole, our growth is the same maybe potentially a bit higher in some respects. And the reason I would say that is obviously we just touched on where we were experiencing some decelerating growth which is in South America on the toll roads. Although we have been very pleased with the way Joe is held up. Joe is in fact put a nice surprise for us. But we are seeing just fantastic results coming out of our U.K. business. We are seeing clearly Europe is starting to recover and the housing starts in the U.K. and our market share there has really helped to propel that business and we see a number of opportunities to expand into new products in that business. And I think the amount of organic growth where we can invest capital to grow the business is also probably at a high. I think we don’t have that one-off rail project that we had a number of years ago which obviously that propelled significant growth at that period of time. But more broadly across our businesses, I think, our capital backlog is as high since its ever been. So, I feel pretty good about the level of growth on a same-store basis.
Brendan Maiorana: Okay, great.
Bahir Manios: And Brendan, it's Bahir. Maybe I’ll just add and just one comment to what Sam, mentioned. If you look at our organic growth from 2009 to 2014 on a U.S. Dollar term, it’s been to your point earlier pretty robust. It’s increased by 12% to 13% on a CAGR basis. For 2015, it's come off a little bit just because of foreign exchange movements that being said in a local currency perspective. Our organic growth for the first half of the year has been 11% and we expect that to hold up for the balance of the year and increase from that given what Sam alluded to earlier the only while factor will be how the life time currencies will go, but we are encouraged also from the fact that till mid-2017 we've got about 75% to 80% of our FFO hedged. So if you assume that LatAm sort of hold flat from now on, we could see about 3% to 4% deterioration in our head rate going forward, but if we do 12% to 13% top line growth that comes to still 8% to 9% overall organic growth, which is still pretty strong for our business.
Brendan Maiorana: Okay, that’s helpful. I’ll be here, just so the 3% to 4% if currencies hold at current levels. That’s 3% to 4% sort of overall impact FFO or just to those just to their businesses in those jurisdiction?
Bahir Manios: These are 3% to 4% relating to the hedge what we have hedged for 75% of the overall FFO of the business, which comes from the jurisdictions that are outside of Latin America.
Brendan Maiorana: Okay. So it’s 3% to 4% of those hedge and it's on 75% so it’s sort of like kind of 3% impact overall to FFO potential. If the currencies held at current levels?
A – Bahir Manios: If LatAm was to hold and what I am saying we have already hedged the various part – the rest of the portfolio so we’ll see 3% to 4% decreased FFO coming out of those contracts and assuming LatAm still say the same if you’re doing 12% or higher in local currency terms minus the three gives you 8% to 9% a U.S. Dollar terms going forward.
Brendan Maiorana: Okay, got it. And then just last one so you’ve got $800 million of corporate cash another $300 million of cash at the subsidiary levels got credit facility that’s effectively undrawn or not much. How much do you think on a net investment basis you guys would be comfortable doing and still maintaining leverage kind of where you want to run on overall basis?
A – Bahir Manios: Sorry Brendan, I didn’t quite follow that how much would be draw down on our line are you saying or what you’re - 
Brendan Maiorana: Well capital fundable, so how much the net increase an investment could you do and still be comfortable from an overall leverage perspective. Like how much in equity investment net could you do versus where your balance sheet stood at 6:30?
A – Bahir Manios: So maybe just state it different way, because obviously to extent we do a large transactions than we have specific funding plans related to large transaction so that might to just give you answer for that may confuse you. But the way we look at it is we are comfortable with a general capital structure where we have debt to EBITDA in the 5 to 5.5 range on a long-term basis. And we utilize our line of credit to facilitate transactions. But we don’t see that necessarily as permanent capital, although it would not be unreasonable to assume that on average we’ll always be into our line for a certain amount. But we would replenishing that line with new equity raise on a periodic basis.
Brendan Maiorana: Okay. All right, thanks guys.
A – Bahir Manios: Okay. Thanks Brendan.
Operator: The next question is from Andrew Kuske with Credit Suisse. Please go ahead.
Andrew Kuske: Thank you good morning, I guess the question is for Sam and it’s just on your asset base and you have managed to actually build up a pretty interesting set of network assets in Australia and also Brazil and you may be enhancing those again. If you look at infrastructure companies having a good network is something that can drive growth into the future. So how do you think about just the network opportunities in those two regions and then the possibility if we jump ahead in the future and look about improve networks in North America and then also Europe where you’re network assets are not as maybe interconnected or as good or is well positioned as they are in Brazil and also Australia?
A – Sam Pollock: Okay. Thanks Andrew, that’s interesting question. So I think there is really two elements of that, one was just how do we think about the logistic networks we have and are looking to build in Brazil and in Australia. And we do share your view that where there is potential to create a lot of value is to be able to come up with solutions for people moving good both container and inter-model and bulk and having those solutions from end to end and being able to debottleneck them with new infrastructure investment and we have a build out with VOI, VOI is exciting business where we’ve got a number of inland terminals. We have got direct relationship with customers and then we provide them a solution from the inland terminal where we aggregate all the way through our using our real network and then we put them over our ports across the country. And we see the same potential in Australia where we could be able to take advantage of a lot of knowledge about where those various challenges exits for customers both from a capital perspective and just from an efficiency perspective and so leveraging all the knowledge of a various businesses to find ways to arbitrage inefficiencies I think the potential is large. So we’re excited by the footprints that we may have in both of those countries and they both are very large and move goods over long distances and I think what we have will be very unique. So to your next question on can we duplicate that in North America. We would love to, it’s the first thing we aspire to. It will be more challenging. We’ve been having conversations with different groups in North America including Mexico and seeing if there are various combinations or transactions that might make sense. It’s a little bit more challenging in North America just because there isn’t as much of the those types of businesses that are A; not owned by the government or B; that are owned by very large, large companies. That are natural for us to go and acquire or transact with, but we’re working on that. We think there are some we think there are definitely ways to build a broader container terminal business in North America and then that one I think is a large good place for us to continue to build were it will be more difficult both ports will be more difficult. But hopefully that’s helpful, but that sort of the stage of development where we are at.
Andrew Kuske: Okay, that's very helpful. And then just a second question and a little bit different and really product directed up to here, if you could just give us maybe a bit of flavor on the capital market access in particular in debt markets on just absolute financing levels. And just say spreads because we have seen a quite a bit of movement in interest rates and lasts for a while but if you just thought about your financing options along the lines of preferreds, corporate debt, acquisition lines just give us may be a little bit of flavor and color on those things?
A – Bahir Manios: So I’ll start and Sam might pipe in on this one. I think today we are pretty happy with the capital structure that we have on the goal we aspire as much as possible to limit the amount of corporate debt, that we have in the system and today you know it's at a very manageable level, it's under 10%. Should we grow the business more materially going forward, that gives us maybe an ability to access the debt and perhaps markets going forward but as of today I think what Sam alluded to earlier, we will be funding the business primarily through our existing liquidity. The access that we have to our revolver and when that revolver gets up there in terms of drawn levels, we would then think about all the various alternatives, which could be equity, asset sales, and potentially vis-à-vis the growth of the business maybe tapping into the corporate debt and press markets.
A – Sam Pollock: Maybe I will add to that, that’s a good summary. As Bahir said, we don’t ever aspire to be heavy users of the pre-corporate debt market, that basically is just optimizing our capital structure to a certain extent. But as far as the - today the capital markets, I would say, unbalanced it's still fairly liquid with rates at low rates. The U.S. market is still quite open. We have tapped into a number of different parts of that market, whether it's the 144A market, the private placement market or the public markets. The Australian market in fact we have seen that it probably become little bit more liquid, in fact we have seen some local players there, in fact issue up to 10 year debt, which probably hasn't happened for a long time so that was nice to see. And in Europe, the rates are probably not as ridiculously low as they were at one point. I think the spreads you can issue out there are probably bid higher. We did see the markets close down a little bit in Europe when the Greek crisis or just the noise around the Greek situation hit the Zenith in May and June and so we did pull back on a re-financing of a TDF that we were looking to do into the fall but other that I would say the capital markets are still pretty good.
Andrew Kuske: Okay. That's great, thank you.
Operator: The next question is from Robert Kwan with RBC Capital Markets. Please go ahead.
Robert Kwan: Good Morning. If I can just get your thoughts generically on your rail business and what you aspire to get to. Your focus has been on below rail assets. I was wondering if you could talk about the synergies and enhanced value you would see that in above rail assets and taking it more broadly at least geographically. If the price is right would you be interested in integrated rail operations elsewhere in the world?
A – Sam Pollock: Hi Robert, so the short answer is yes. We are interested in other opportunities around the world and we are looking at other opportunities. And we like the opportunities of both above and below rail clearly because that's what we have and are looking at. BOI is an open access system much like what they have in Australia, but we own both below and above rail there. We are interested in expanding obviously to the above rail in Australia and to the extent that there are opportunities to buy further below rail businesses there. We would definitely seek to do that as well. The businesses for regulatory reasons will be [ring sensed] [ph] but having said that, it does not mean there are not going to be ways to still find opportunities to create value from the knowledge of having both businesses. And so we’re going to look to build our business in both of those jurisdictions. And then find other, rail typically works well in countries with very large footprints. And so we’ll focus our attention to those types of jurisdictions.
Robert Kwan: Okay. I guess part of it was when you first came into the below rail assets, you view that as being something that was extremely attractive and not that it was negative in terms of the below rail side of things. I’m just wondering as time has progressed, has something evolves in terms of how you see adding above rail and what it can really do to enhance value like you said even though maybe ring sensed or maybe additional opportunities even if it’s not just rail but port opportunities. Is there something that you see it all kind of coming together and that some of the parts is greater than just having that below track?
Sam Pollock: Well clearly we think so, and the below rail business is in the very – is a very attractive business. We have long-term contracts take-or-pay arrangements with customers, but it is a more passive business. We don’t have the same interactions with customers to find solutions to deal with inefficiencies in their logistics requirements and that's where the above rail business does have a bit more of an operating bend to it even though it has secured cash flows with long-term contracts and very strong market positions. There is more opportunities to extract value by coming up with strategies to deal with those inefficiencies. And I think where we can bring value to both an above and below rail business is working with customers and at their whole logistics chain and from in land terminals all the way to ports and finding ways to get their products to market in efficient manner and using our capital to help make that efficient, which is and I hate to believe but the example which is what we’re doing in VOI. In VOI, lot of our investments not even upgrading the rail in fact it’s investing in land at our terminals where modernizing the collection points for grains in particular and we’re cutting down the loading times of trains with our new facilities from what used to be three days 36, 40 hours to now to both 6 or 7 hours with our new facilities. And that just makes - reduces cost dramatically and reduces to merge and obviously we can earn a very good return on our capital deployed.
Robert Kwan: That's great. If I can turn to the opportunities in Europe in terms of what you went through a lot of opportunities, it sounds like to invest capital in the existing assets that you’ve got on the continent. I’m just wondering, what are you seeing in terms of potential acquisition opportunities and to some extent with the uncertainty increased, even though it seems isolated and on the last time there was zero zone turmoil, you really sighed away from the continent. So just really what’s the current thinking right now?
Sam Pollock: Well, we haven't - I wouldn't say we've been sighing away in fact from Europe at the moment. We are looking to continue to grow our plat in the region. I’d say the particular focus as we touched on the past. We're looking to start up and expand a district energy platform there. We're looking to grow into smart meters in the U.K. And we're looking at a number of transportation businesses on the Mainland that would be complementary to the global platform that I talked about earlier.
Robert Kwan: Okay. That's great. Thank you very much
Sam Pollock: Thank you.
Operator: [Operator Instructions] Next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Good morning, guys. You've been fairly active building your district energy platform in Australia. I was wondering if you could elaborate on the factors, specific factors that are driving that. Are you - is there just more assets coming up for sale, are companies divesting in them or is bid being a bit more aggressive than normally would be? And secondly, just wondering if you could comment on - maybe the differences there are between that business and what you're experiencing in North America?
Bahir Manios: Sure. I'll touch on that Frederic, and thanks for your call. I'd say the main reason for the increase in activity in district energy in Australia is primarily a focus. In the past before we identified district energy as an exciting sector. It probably didn't hit our radar screen for the same reasons that it did in North America, which is they tend to be much smaller systems and they don't elevate themselves to something that would normally come to our table. But as we've talked about on a number of calls, we do take an approach of building platforms and assembling our portfolio of assets and district energy is probably the poster child for that type of investment, where once you have a platform building on a number of new pre-sensor or systems becomes much easier and very accretive to the bottom line. So, we started up a – note there, we had a business already that was - I'd say related wasn't exactly district energy, it was distributed energy on Tasmania around a gas system but we had a platform that we could leverage and all the people and systems to tuck-in a number of district energy businesses. And so we've gone out to what is a very fragmented market just like it is here in Canada and U.S. and spoken to municipalities and developers who are building large systems and explain to them the value proposition of us owning and operating these various in the case of Australia both recycled water and also the thermal district energy businesses, the traditional steam and refrigerated water. So, that's really the reason for the success in Australia. It's not a big market, it's a market obviously two thirds the size of Canada, but it is very warm, so it probably has more opportunities than just Canada as a whole. But we think there are still a number of growth opportunities in that market that we can see over the next little while. The big market for us is the U.S., it's a massive market, we see a bit more competition in the sector here than we do in other places. But we have a good footprint with a number of businesses we bought for the last couple years and we are aggressively trying to grow it. And the next market for us to tackle will be Europe and one day possibly South America.
Frederic Bastien: Perfect. Thanks for that. Now it sounds like the growth opportunities in utilities are mainly coming from backlog, do I interpret this as a sign that valuation in that space remain too frothy for M&A or simply that you continue to see better value in sectors like transport and energy.
Bahir Manios: You're right, it is a much more competitive segment - the infrastructure market and particularly for new entrance looking for the lowest risk segment to get their toes wet into infrastructure and so we tend to see people bring very low return expectations to those types of assets. Obviously we like them. We continue to pursue them where we can acquire them on a value basis. Today where we think there might be some opportunities to buy for better value is in Brazil, where there are a number of utility type assets that are trading because of the lack of capital there, returns that are more interesting to us than what we would see here in North America or even in Europe.
Frederic Bastien: Perfect. Thank you.
Operator: There are no more questions at this time. I'll turn the conference back over to Mr. Pollock.
Sam Pollock: Great. Thank you, operator and thank you everyone for joining our call and for all those questions today. We look forward to providing a further update on our business next quarter.